Operator: Thank you for standing by, and welcome to the Fortinet Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's call is being recorded. I will now turn the conference to your host, Mr. Peter Salkowski, Senior Vice President of Finance and Investor Relations. Please go ahead.
Peter Salkowski: Thank you, Valerie. Good afternoon, everyone. This is Peter Salkowski, Senior Vice President of Finance and Investor Relations at Fortinet. I'm pleased to welcome everyone to our call to discuss Fortinet's financial results for the full-year and fourth quarter of 2022. Speakers on today's call are Ken Xie, Fortinet's Founder, Chairman and CEO; and Keith Jensen, our Chief Financial Officer. This is a live call that will be available for replay via webcast on our Investor Relations website. Ken will begin our call today by providing a high-level perspective on our business. Keith will then review our financial and operating results for the full-year and fourth quarter of 2022 before providing guidance for the first quarter of 2023 and the full-year. We'll then open the call for questions. Before we begin, I'd like to remind everyone that on today's call, we will be making forward-looking statements, and these forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ materially from those projected. Please refer to our SEC filings, in particular, the risk factors in our most recent Form 10-K and Form 10-Q for more information. All forward-looking statements reflect our opinions only as of the date of this presentation, and we undertake no obligation and specifically disclaim any obligation to update forward-looking statements. Also, all references to financial metrics that we make on today's call are non-GAAP unless stated otherwise. Our GAAP results and GAAP to non-GAAP reconciliations are located in the earnings press release and in the presentation that accompany today's remarks, both of which are posted on the Investor Relations website. Ken and Keith's prepared remarks for today's earnings call will be posted on the quarterly earnings section of our Investor Relations website immediately following the call. Lastly, all references to growth are on a year-over-year basis unless noted otherwise. I will now turn the call over to Ken Xie.
Ken Xie: Thanks, Peter, and thank you to everyone for joining today's call to review our outstanding full-year and fourth quarter 2022 results. For the full-year, revenue growth accelerated to 33%. We continue to gain market share in the service security industry with customers increasingly recognizing how Fortinet integrate and a single platform approach to security delivers along total cost of ownership and a greater return on investment than competing solutions. Product revenue growth of 42% was very strong, making Fortinet a leading product revenue company in the cybersecurity industry with total product revenue of $1.8 billion. Our SD-WAN and OT bookings together accounted for over 25% of total bookings. And our goal is to keep growing and achieve #1 market share in network firewall Secure SD-WAN and OT security market over the next couple of years. For 20 years, Fortinet has made long-term strategies and investments around the convergence of networking and security. Yesterday, we announced our fifth-generation FortiSecurity processor, the FortiSP5. This new SoC base for the ASIC has secure computing power rating for major network security functions like Firewall to support 17x to 32x greater than the average of our competitor similar price model using general purpose CPUs and doubles the ASIC chip acceleration of applications to Forti such as New Trust, SASE, 5G and our SD-Branch with much better performance and efficiency. According to the most recent IDC data on unit shipment of firewall plants, Fortinet hold the #1 unit shipped market share position and 48%, providing Fortinet with an attractive economy of scale position us well as making it difficult for competitors to develop their own ASIC technology due to high entry barrier and significant investment that is required. Fortinet is a huge security computing power advanced advantages are able for the OS to integrate more security functions and applications than our competitors with much better performance and much lower energy consumption, resulting in a much lower total cost of ownership while offering easier operations for our customers. For example, a recent Forrester report highlighted that customers deploying Fortinet Secure SD-WAN solutions achieved a 300% return on investment over three years with a payback period of only eight months. Fortinet's substantial installed base of product with reach functions enable us to offer additional secure services, and upsell, integrated and automated for the Fabric Product Solutions. We recently announced several new and advanced services that help SoC team reduce their operations cyber-risk while being more efficient and handling cybersecurity issues. As networking and security continue to converge and consolidate, we believe we are well positioned to achieve our 2025 building target of $10 billion. Before turning the call over to Keith, I would like to thank our employees, customers, partners and suppliers worldwide for their continued support and hard work. Keith?
Keith Jensen: Thank you, Ken, and good afternoon, everyone. As we look back at 2022, we see the success of our strategy to lead in convergence and consolidation as well as the combined power of our ASIC technology with our integrated operating system. Combined, these efforts are driving our strong financial results. There's been an explosion of devices that must be connected to the cloud, data center and edge compute. As a result, the infrastructure has expanded to support secure connectivity via distributed firewalls, it is no longer feasible to overlay security on top of networking in the data center. They must be deployed as a converged solution. Firewalls need to work seamlessly with networking and security applications across the company's entire infrastructure. Fortinet is leading the convergence trend with a wide range of technologies, including network firewalls, Secure SD-WAN, 5G and OT security, all embedded in our single operating system delivered as hardware, software, cloud and as a service. Traditional CPU-based solutions are very inefficient as supporting both networking and security. That's why Fortinet developed proprietary ASIC technology to build an application-specific solution. Yesterday, as Ken mentioned, we announced our next-generation ASIC, the FortiSecurity processor or FortiSP5, which allows line speed convergence of networking and security at every network edge. The new seven nanometer technology combines existing NP7 technology with new content processor capabilities. Our enhanced platform suite of integrated products is delivering on customer demands for convergence, vendor consolidation, ease of management and lower operating costs. The success of this strategy is evident in our full-year 2022 results, and I'll start there. Billings passed the $5 billion mark, totaling $5.6 billion and growing 34%. While revenue totaled $4.4 billion, with growth accelerating to 32%, the fifth consecutive year of revenue growth of 20% or more. Driven by strong demand for our fabric and cloud security solutions, enhanced platform technology billings and revenue both increased over 40% to $1.8 billion and $1.5 billion, respectively. And despite a challenging global supply chain environment, product revenue growth came in at 42%, our highest annual product revenue growth rate in over 10 years. Our product revenue growth was driven by the combined -- by the continued growth of our firewall use cases and the addition of over 23,000 new customers. Service revenue was up 26% to $2.6 billion, resulting in three consecutive years of accelerating service revenue growth rates. Gross margin was strong at 76.3% and operating margin outpaced our initial expectations, increasing 110 basis points to a new Fortinet record high of 27.3%. Our GAAP operating margin of 22% is one of the highest in the industry, and we continued our streak of being GAAP profitable every year of our 14-year history as a public company. Earnings per share increased 49% to $1.19. Free cash flow was a record at $1.45 billion. Free cash flow margin was 33% and adjusted for real estate investments, the free cash flow margin came in at 37%. And for the year, we repurchased approximately 36 million shares at a cost of $2 billion. Total deferred revenue increased 34% to $4.6 billion. Short-term deferred revenue increased 32% to $2.35 billion. Quarterly contract terms throughout the year were consistent with the year earlier periods, including the fourth quarter at 28 months. Before moving on to our Q4 results, I'd like to summarize our enterprise success and highlight a few seven figure deals from 2022. We saw great success during the year with our strategy to expand further into the large enterprise segment as the number of deals over $1 million increased over 55% to a record 546 deals and billings on these deals increased by over 70%. If we look at a few of our large deals of the year, let's start with the competitive upsell deal, Fortinet displaced a 11 different vendors by consolidating the customer's network to security functions on our Security Fabric. This worldwide wholesaler previously purchased secure SD-WAN and FortiProxy. Next on the list was a centralized network security solution that could be managed and deployed to its 400 global locations. This customer chose Fortinet Security Fabric for a selectable and integrated solution across multiple scenarios, including work from anywhere, perimeter security and data center segmentation. In another upsell deal, a leading global manufacturer was spun off and had to stand up the security and networking infrastructure separately. The newly created infrastructures included remote access, SD-WAN, application delivery control, authentication, endpoint, e-mail protection and switching. Keys to our win included our Zero Trust capabilities, a cloud-first SD-WAN strategy and the ease of integration and convergence across our platform suite. Lastly, in the new logo win, a large U.S. retailer with over 500 locations were struggling with a total cost of ownership of their legacy security architecture. Keys to this win included delivering a single pane of glass versus the multiple consoles they were using and replacing the competitors' firewalls with our FortiGate's, delivering URL filtering, WiFi security, and edge router replacement, all on our unified and integrated FortiOS platform. This customer reported anticipated savings of $29 million over five years. Turning to Q4 results, both billings and revenue delivered new Fortinet records with billings of $1.7 billion and revenue of $1.3 billion. Both metrics increased over 30%. The strong fourth quarter revenue performance reflects solid customer demand across both our core and enhanced platform technologies. In the fourth quarter, we added over 6,200 new logos, another new Fortinet record reflecting the support of our channel partners, the leverage they bring and the breadth of our worldwide customer base. Taking a closer look at the fourth quarter, billings growth of 32%, was driven by a 40% increase in enhanced platform technology billings, which accounted for over one-third of total billings. Total revenue growth of 33% was driven by a strong demand for core and enhanced technology platforms, which increased 26% and 47%, respectively. Product revenue grew 43% to $540 million. Service revenue was up 27% to $743 million, driven by strong product revenue growth and strength in our security subscriptions. Short-term deferred revenue grew 32% and represents eight consecutive quarters of accelerating growth rates. Total gross margin of 77.6% was driven by a 310 basis point increase in product gross margin to 65.2%. Several factors converged to drive our record high quarterly product gross margin, including legacy pricing actions, easing supply chain cost pressures and improved discounting. Service gross margin of 86.7%, ticked down 40 basis points due to increased labor cost and our expansion in cloud services and the related hosting costs. Operating margin of 32.5%, was up 400 basis points year-over-year due to the strong gross margin performance and FX benefit. Looking to the statement of cash flow summaries on Slides 11 and 12. Free cash flow was $497 million, adjusted free cash flow, which excludes real estate investments was $510 million, representing a 40% adjusted free cash flow margin. Cash taxes were $63 million, capital expenditures were $31 million, including $13 million for real estate investments. DSO increased 14 days sequentially and year-over-year to 89 days, also impacting service revenue growth. Moving to guidance. We believe the continued innovations we made in building our platform enables our customers' digital transformation journey. And as Ken noted, customers are increasingly recognizing how Fortinet is integrated and single platform approach to security can deliver a lower total cost of ownership and a greater return on investments than competing solutions. Now I'd like to review our outlook for 2023, summarized on Slide 15, which is subject to disclaimers regarding forward-looking information that Peter provided at the beginning of the call. For the first quarter, we expect billings in the range of $1.415 billion to $1.465 billion which at the midpoint represents growth of 24%. Revenue in the range of $1.180 billion to $1.220 billion, which at the midpoint represents growth of 26%. Non-GAAP gross margin of 75% to 76%; non-GAAP operating margin of 23% to 24%, which at the midpoint represents an increase of 150 basis points. Non-GAAP earnings per share of $0.27 to $0.29, which assumes a share count of between $795 million and $805 million, capital expenditures of $80 million to $110 million, non-GAAP tax rate of 17%, cash taxes of $20 million. And should also note that first quarter guidance assumes backlog decreases slightly during the quarter. For the full-year, we expect billings in the range of $6.710 billion to $6.790 billion, which at the midpoint represents growth of 21%. Revenue in the range of $5.370 billion to $5.430 billion which at the midpoint represents growth of 22%. Total service revenue in the range of $3.335 billion to $3.365 billion, which at the midpoint represents growth of 27%, it implies a fourth consecutive year of accelerating service revenue growth. The service revenue guidance also implies product revenue growth of 15%. Non-GAAP gross margin of 75% to 76%, non-GAAP operating margin of 25% to 26%, non-GAAP earnings per share of $1.39 to $1.41, which assumes a share count of between $805 million and $815 million. Capital expenditures of $400 million to $450 million due to continued investments in clouds, data centers and facilities. Non-GAAP tax rate of 17%, cash taxes of $375 million, split somewhat evenly between the first and second half of the year. The increase in cash taxes reflects recently effective R&D capitalization and amortization requirements. The full-year estimate assumes backlog approaches historical levels by the end of the year. Cybersecurity, but not immune to economic slowdowns is expected to remain a comparatively safe harbor. And with a strong business model and history of execution, we are confident that our market share gains will continue. We remain on track to achieve our 2025 financial targets, which include billings of $10 billion, revenue of $8 billion, non-GAAP operating margin of at least 25%, and adjusted free cash flow margin in the mid to high 30% range in 2025. And with that, I'll now hand the call back over to Peter to begin the Q&A session.
Peter Salkowski: Thank you, Keith. Operator, please open the call for questions. [Operator Instructions]. Open up the call, please. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from Brian Essex of JPMorgan. Your line is open.
Brian Essex: Great. Thank you. Good afternoon and thank you for taking the question. And congrats on some solid results and a solid guide. I guess given that we heard from one of your peers last night and they were I guess, markedly more conservative or cautious on the macro than you seem to be. Maybe for Ken and Keith, could you help us understand what you're seeing in the market from a macro perspective, how enterprises are spending. And how does any changes in the quarter relative to initial expectations pan out with regard to demand, we're seeing sales cycles. We're hearing about sales cycles elongating and budget scrutiny ongoing. What are you seeing on your side?
Ken Xie: I took a question feedback from some customer partners. Their budget is tight, but Fortinet solution has a better cost of total cost ownership and also kind of even cost saving for some like a Secure SD-WAN solution. And at the same time, we do see -- the use case of firewall expanding much broader than before, especially for this OT security, some other area, which pretty much, I'd say, network security may be the only solution to secure some of this OT area. So that's where we see the demand is still pretty strong. And so we probably -- we're keeping gaining more market share in this well fragmented market.
Keith Jensen: Yes. Thanks, Ken. I spot on with that. I would also add, look, I think we're all sensitive to the overhang from the macro environment and what that may mean is [indiscernible]. But when we look at our internal numbers, whether it's pipeline growth and even if we compare what pipeline growth is today versus a year-ago, it's even up in terms of percentage growth rates. The use cases, and I think in this environment, the savings that we offer and the ROI that we provide and some of the case studies that we provided in the call there are examples of that. I think we're continuing to benefit from that, and we do see that continued opportunities for market share gains even in this environment.
Brian Essex: Got it. Maybe just for a quick follow-up then, Keith. As you think about the level of conservatism in your fiscal '23 guide, I mean, stronger than, I think some had expected. I know I'm going to get the question tomorrow how much conservatism is in there. What gives you confidence in hitting that kind of level of performance, particularly with regard to billings. And then any change to your 2025 targets as you kind of look at the strength that you're seeing in the market from here on out?
Keith Jensen: Yes. I think that the approach that we take, if you will, is consistent this time around with what we've done in prior years, but with certainly added conservatism in it to reflect what's happening or what may happen with the macro environment. And first and foremost, we start with the pipeline and looking at the pipeline growth there and the kind of the timing of the pipeline and making sure that we have deals that are teed up for the middle of the year and perhaps even to the second half of the year. So there's ample opportunity there. You also want to make sure that you've got sales productivity numbers that make sense and sales capacity numbers that make sense. Yes, I think there will be some tailwind from the backlog, which I commented on in the comment that we're going to get some benefit from that as it continues to burn down. But keep in mind that we have seen some changes in cancellation rates, and I think we've added a significant amount of conservatism there around cancellation rates. Again, so I think it's really about the pipeline, it's the tailwind that we have and it take us the advantages that we're offering and total cost of ownership in this environment.
Brian Essex: Okay, that's super helpful. Thank you very much.
Operator: Thank you. One moment please. Our next question comes from the line of Fatima Boolani of Citi. Your line is open.
Fatima Boolani: Hey, good afternoon. Thank you for taking my questions. Keith, for you, just with respect to the services revenue guidance at 27%. That's not a material difference from the cadence you've been running at this year. And I'm curious what sort of input embed that revenue segment for you? And I ask because we have the dynamic of some of your customers delaying their subscription registrations over the course of '22. And then we also have the dynamic of a lot of your customers not having realized the pricing increases that you've expected in the last 12 to 18 months. So I'm curious as to why with those positive inputs, you -- we wouldn't see better services growth. And what sort of things that you're being conservative about there? And then a quick follow-up, please.
Keith Jensen: Yes. I think it kind of goes back to Brian's question a moment ago in terms of -- with the level of conservatism and caution that's in the guide. And I know that historically, I've often complained that I don't get much room in the services line from where the consensus is versus what I'm forecasting. At a 27% number, I think that's pretty much right on top of what the street of that for the full-year. And I think in this macro environment, I think that's a great -- a good place for us to be at this point of the year for full-year guidance.
Fatima Boolani: Understood. And any commentary on operating margin and operating profitability performance because we are seeing compression into next year, certainly on a quarterly basis. But anything to be mindful of there as it relates to maybe onetime items that are peeling out just perhaps why not see better follow-through in profitability? And that's it for me. Thank you.
Keith Jensen: Yes. Yes, I think our guidance is pretty much in sync with where we are historically at this point in time and consistent what we always talked about the 25% margin number. But I think the -- what you may be suggesting or inferring is really, it's all about FX, if you will, when you look at 2022 compared to 2023. We had a nice benefit from FX in 2022. And I think in terms of what our assumptions are for 2023, like the rest of people, we read the economic reports from the big banks and so forth and what the dollar is expected to do. And I think we've really pulled out a lot of that benefit by the end of this year. And so you're not really going to see that in the year-over-year comparison.
Operator: Thank you. One moment please. Our next question comes from the line of Saket Kalia of Barclays. Your line is open.
Saket Kalia: Okay, great. Hey guys, thanks for taking my questions here. Maybe first for maybe a question for both Ken and Keith. Clearly, SD-WAN and OT are becoming a bigger part of the business and that too with higher growth rates. And so maybe the question is, how do you folks think about the growth rate or runway for growth in those two businesses either separately or together, over the next couple of years, as part of the total growth equation or part of the $10 billion goal, however you want to think about it, but really curious about that SD-WAN and OT part of the business that's been doing so well.
Ken Xie: I think there is two parts. First, I totally agree with you said that SD-WAN and the OT market growing faster than the network security average. And on the other side, we do believe our solution has huge advantage compared to other competitors. So both SD-WAN, OT market is still pretty fragmented and compared to our home growth integrated solution and leverage for the ASIC company and power. So advantage much huge compared to other competitors, quite some mostly come from acquisition. And at the same time, they don't have the ASIC help to increase speed, lower the cost and the power consumption. So that's why we feel we're keeping growing above the market, so above the market growth rate. There's a different research about how the market is growing. But I do agree it's a fast-growing market compared to the cybersecurity space and there will be a lot of potential going forward.
Saket Kalia: Got it. Got it. Very helpful. Keith, maybe just a quick follow-up for you. Actually, great to see the billings duration stay roughly similar. I'm curious if you could just talk anecdotally or just specifically just around how you're thinking about billings duration here in '23? And whether that's been something that you feel like customers have pushed on given the interest rate environment that we're in?
Keith Jensen: Yes. I don't think that we've really seen customers push on the term. Obviously, at 28 months -- 28 months, which is kind of been keeping where we've been historically. But I do think in the fourth quarter, we certainly had conversations with customers that were I think perhaps even more focused on cash flow, if you will, than they were on discounting in terms of extended payment terms and that sort of thing. So if I were to look at the -- what I'm hearing back from customers, it was all about cash protection. And with that, I assume if I were trying to do a lot of five-year deals or something like that, I might have felt more pressure. But given the SMB mix of our business and our partner footprint, obviously, didn't come through in the numbers really.
Saket Kalia: Yes, absolutely. Great to see. Thanks guys.
Operator: Thank you. One moment please. Our next question comes from the line of Hamza Fodderwala of Morgan Stanley. Your line is open.
Hamza Fodderwala: Hi, guys. Thank you for taking my questions. Good evening. Keith, I wanted to clarify something you said about the cancellation rates. I think you mentioned that you're seeing some changes there. Can you maybe elaborate on that a little bit? I think like the past few quarters, it's been around 4%, 5%. Just if you could provide any more color on that comment?
Keith Jensen: Yes. We did see a pickup to if we want to call it mid-single digits in Q3, we saw it tick up to high-single-digits in fourth quarter -- in the fourth quarter. And we've anticipated this, particularly as the backlog starts to shift its mix as the firewalls. There's still a significant amount of firewalls in the backlog, but it really now has tilted towards the network equipment, the switches and the access points. And so as you would expect, one last comment on that, as we see the shift in the mix in the backlog as well as the pick-up in the cancellation rates, I would also offer that as part of the guidance setting process, I think we've taken a fairly conservative approach to cancellation rates on what they -- how they may impact 2023 or said another way, we're not expecting all the backlog that exists at the beginning of the year to convert in 2023 because we think there'll be some cancellations.
Hamza Fodderwala: Got it. And just maybe a follow-up for Ken. I think SD-WAN is now nearly a $1 billion business for Fortinet which is quite remarkable because you just started selling it, I think, maybe four years ago. I'm curious as more of that base starts to come up for refresh. What are other monetization drivers do you see for SD-WAN, whether it be attaching more services or perhaps increasing the price points. I'm curious how you're thinking about that?
Ken Xie: Definitely more service, whether under the overlay service for SD-WAN because our SD-WAN has all the security function and also a lot of -- deployed case whether supporting work from core from anywhere or kind of helping enterprise reduce their total cost of networking all these things. We do see a lot of additional service they need. At the same time, we also see the service provider starting more working together with us, offer some quite additional service beyond -- that's the traditional SD-WAN. So that's also helping drive much more service going forward.
Hamza Fodderwala: Thank you.
Operator: Thank you. One moment please. Our next question comes from the line of Brad Zelnick of Deutsche Bank. Your line is open.
Brad Zelnick: Great, thank you very much and congratulations on just blow out results and guidance, a nice job. My first question is just around the new ASIC FortiSP5. Can you remind us what if any impact we might expect in terms of customer purchasing patterns and what you've seen in the past and the extent perhaps it can drive accelerated demand and/or maybe the risk of trade-down effect? And I've got a follow-up. Thanks.
Ken Xie: Probably want to take some time, I'd say, maybe one to two years to refresh the product. And that's where every quarter, we tend to release one or two products, whether leverage new ASIC or the new CPU of Smarter network chip in the industry. I don't feel it will be a significant impact up and down of the result and will be more smooth transition. Because security deployment is a kind of a -- take long time to design, evaluate, deploy and also very, very long sales cycle. At the same time, the life cycle of the product also tend to be quite long, like seven to 10 years. So that's where the ASIC each generation definitely will help in and at the same time has a huge advantage compared to using general-purpose CPU. So that's where we're keeping gaining market share. But consider the switching costs, consider the long cycle, sales cycle and deployment cycle. And also, we also need time to put ASIC into a new product, which also taken in a few months, three to six months, thus I do see it will be like a more long-term positive impact instead of short-term.
Keith Jensen: Yes, Brad, I would only offer again for context. I think that -- this is what Fortinet has been 20 generation. It's a chip probably now we think content processors and network processors and systems-on-a-chip. And I think that Fortinet, Ken and Michael have actually shown the ability to transition through those generations of chips. And if you look back at the financials, I think it's a little bit difficult to find a year that for a period of time, really saw spike because of the new chip. These are much more long-term plays. And I think the approach here is to execute in a smooth fashion over a number of years.
Brad Zelnick: Thanks for the reminder and Keith, can you just expand on your comments around DSOs being up sequentially year-on-year and the impact of services revenue? And related to that, I recall you had a change in policy around subscription activations. Is that also impacting services revenue. Any help there would be great. Thanks.
Keith Jensen: Yes, the change in activation policies started February last week, I believe, February 1. So we'll start to see that going forward. What I was referring to is the -- is really all about linearity, right? That's what it gives you insights to. And if I see my DSO go from, call it, 75 days to 89 or 90, you can kind of start doing the math there and see that's a 20% increase in DSO, and it's really driven by how linearity came through in the quarter. And when linearity starts shifting that much, we lose the opportunity to gain service revenue from sales early in the quarter that would normally activate. So we really didn't get a lift in service revenue from in-quarter deals the way that we would have expected because of linearity.
Operator: Thank you. One moment please. Our next question comes from the line of Shaul Eyal of Cowen. Your line is open.
Shaul Eyal: Thank you. And good afternoon and congrats on the great performance and guidance. Keith, given the slightly lower-than-expected 4Q service revenue, how should we be thinking about the first quarter service revenue growth?
Keith Jensen: Yes. I think that we kind of remain truthful to or faithful to the notion of providing service revenue guidance for the full-year and kind of leave the Street work out the numbers from that point going forward. I think that certainly, as we kind of look at laying out the year and with the backdrop of the macro that we're all concerned about, I don't think we really wanted to push too hard on some of the metrics that we didn't need to push on. And I think where we ended up with is pretty consistent in the quarter with our consensus when we look at our internal allocations between product and service revenue.
Shaul Eyal: Understood. And maybe one more. As we think about the non-GAAP operating margins and really great performance, should we be thinking of the target to be sort of an average of 25% over the period or a floor of 25% over the course of the next few years?
Keith Jensen: I'm going to answer yes. Yes, you should be thinking about one of those two ways. Look, I think we're driven by being above 25% operating margin, right? I think the ones that -- the last few years have taught us is life full of surprises. And so locking into a fixed commitment is a little bit challenging sometimes. But clearly, we manage the business as if it's the floor.
Shaul Eyal: Understood. Thank you so much.
Operator: Thank you. One moment please. Our next question comes from the line of Adam Borg of Stifel. Your line is open.
Adam Borg: Thanks so much for taking the questions. Maybe for Ken or Keith, just on sales headcount. Obviously, you guys have been aggressively growing sales and marketing headcount in recent years, and it's nice to see the enterprise success you talked about. Just curious where we are in sales force productivity. And how we should think about sales headcount growth and even overall headcount growth in '23? And I have a follow-up.
Ken Xie: Yes, we are continuing hiring. But at the same time, we want to keeping the efficiency and is not dropping the efficiency for the sales and marketing. And at the same time, there's some long-term investment, whether in R&D, the infrastructure supporting, we will continue to need to make. So that's why we do expect the total head count will keep it increased, but probably the rate that just like the last few years will be below the top line increase.
Keith Jensen: Yes. I think just building Ken's comment one of the notes that we do track tenure. We talked about it last quarter. Tenure [ph] would be people that have been here for, say, people have been here more than six months. And I commented last quarter, the tenure was up, I think, eight points. It's actually moved back to historical norms now. And tenure is kind of a key component of productivity as we see -- as we go forward.
Adam Borg: Got it. And maybe just a quick follow-up just on the FortiGate and entry mid and high. It's nice to see really strong midrange growth is interesting at the high end leased by my math was the lowest mix since 2017. Just curious if anything to comment there. Thanks so much.
Ken Xie: That sometimes depend on certain like products or backlog. I think that's probably the average still pretty similar. We don't see much, but sometimes from quarter-to-quarter, it may change a little bit. But I have to say the total mix is still pretty much the same.
Keith Jensen: Yes. I think that's one of the challenges you have in the current environment and the supply chain was really doing funny things, if you will, into delivery, and we don't give you a lot of insights to orders that we were taking in, but we provide billings numbers, you get some distortion there just simply based upon what's available. Specifically, we saw a significant amount of availability of the 100F products, if you will, which are a midrange product. And you're seeing that availability came in the fourth quarter, and it shifted that mix in the way you just described it.
Operator: Thank you. One moment please. Our next question comes from the line of Tal Liani of Bank of America. Your line is open.
Tal Liani: Hello. Thank you. There's going to be one day call that no one is going to butcher my name, and I'm going to be very happy. But I wanted to ask you two things. First of all, could you provide a backlog for 4Q or anything about it? I'm trying to calculate the bookings for the year and what happens to bookings? And any color on backlog would be great. And the second question, a few people asked you about the services growth for next year. I want to ask you about the product growth. The product growth is going from 42% to 15%, if my math is right, from last year to next year to this year. And on the other hand, your commentary is positive. It's -- there's more activity, there's more product sales. So can you take us through the dynamics of product growth and also the connection, the relationship between services and products. Thanks.
Keith Jensen: Yes, I'll start with the last one first, if you will. I think that I think we are very excited about the opportunities in front of us in terms of how the company is executing. But we are certainly also very cognizant of the unknown of the macro environment. And I think there's just an opportunity here in terms of how we guide for the full-year to really bake in concerns around the macro and how it may manifest in the coming months -- coming quarters. So I think you're seeing that, and I kind of made a comment earlier that historically, it's been tough for me to be somewhat cautious on service revenue because it's so visible. We're looking at short-term deferred revenue and the conservatism oftentimes ends up in product revenue. I think there's still an element of that in this conversation.
Ken Xie: Yes, I think for the backlog like what I said in the last one or two quarter, it's continued shifting to the network area, network and the Wi-Fi which is more industry standard product. I'd say probably today, most of the backlog will come from the network side and the Wi-Fi side, which has a higher cancellation rate. And -- so that's where like Keith has mentioned, we take a pretty, when it's positive conservative, but that definitely pretty good estimate what will the impact for the whole year on all these -- the backlog for the product revenue. And product revenue, definitely, we see probably going forward, the benefit of the new ASIC and also some of the new products that were helping and also some of the case, the use case -- additional use case of the firewall definitely also are helping, but it will take some time. So that's where we tend to be more careful to forecast. At the same time, we do see long-term, we still have a huge advantage compared to other competitors because the investment we made in the product, in the hardware, in ASIC give us huge advantage of the total cost of ownership towards container keeping gaining market share in that space.
Tal Liani: And do you provide some numbers about the backlog or maybe how material it is to revenues as a percentage of revenues?
Ken Xie: I think it's -- since it's been a large difficult to forecast at the same time, with the change in cancellation and also most of the backlog related to networking WiFi not a core product. So that's where, since last quarter, we no longer provide detail of the backlog, we feel that could be a little bit misleading if we keep in providing that.
Keith Jensen: I think we can add over some directional comments here with it. So the headlines would be that backlog was up year-over-year, quarter-over-quarter it was down. But as you start thinking through how to treat the backlog in terms of doing your own models going forward, again, we would come back and remind you of a couple of things. We expect the cancellation rates are going to increase, and that's baked into our guidance, as we look at things. And when we say return to historical norms in the commentary, I think we probably would have three years ago had backlog for professional services and training that may have been in the $30 million range. So maybe with growth now you're probably looking at a steady state that could get you over $40 million to $50 million. So just a note of caution, they'll just take all that backlog and assume it's all going to convert into billings and revenue in 2023 given those dynamics.
Tal Liani: Got it. Thank you.
Operator: Thank you. One moment please. Our next question comes from the line of Ittai Kidron of Oppenheimer. Your line is open.
Ittai Kidron: Thanks. Hey guys. Nice quarter. Keith, I was wondering if you could do a little bit of a deeper dive for us into the enhanced part of your business, if there's a way for you to kind of break it down a little bit for us by product. And perhaps rank order for us, categories which are growing above the average for the category and below the average for the category. I would just like to get a little bit more color as to the change in mix within that?
Keith Jensen: Yes. I don't know that I've really seen a change in the mix, if you will. I think the -- when you look at the -- what we call the FortiManager, FortiAnalyzer. And certainly, the virtual machines are doing very, very well. And then as you start looking at the tail of the fabric products in the -- on the areas of EDR and monitor and SIM and so on and so forth, I think that they're smaller dollar totals, but sometimes very dramatic and exciting growth rates. So I want to be a little bit careful about getting -- painting anybody in too great a light in terms of their contribution because everybody is contributing. Certainly, the networking equipment part of the business has done very, very well, and this is a key component of this convergent story that we've talked about, and it remains probably about one-third of the fabric business.
Ittai Kidron: Got it. Excellent. And then just going back to the cancellation rate, just to make sure I understand this. How much of this is tied into supply chain, meaning of supply chain? Is it getting better availability is no longer an issue? Customers are less perhaps interested in getting too far ahead in line and waiting for product. How much of that is a factor in this?
Ken Xie: The supply chain environment definitely have some improvement for networking for the WiFi. That's where sometimes a customer, they may have a multiple order to see which vendor can deliver because a lot of networking equipment WiFi is a pretty standard product. Even for us, we do add quite some security functions in there. But at sometimes customers just cannot wait. So that's where we see a little bit higher cancellation rate with -- I think right now, the overall supply chain environment, I think is improving.
Keith Jensen: Yes. I think the conversation around cancellation rates, a few things there. We said it went from mid single-digits to high single-digits. And then as we built into the guidance, it is a multiple that we built in the guidance of what we just saw in the fourth quarter. What we actually get out of it, we'll see. But the reason to be so cautious about it is what Ken is talking about. We knew that we had an advantage with firewalls and dealing with our suppliers and our vendors and we thought we'd be successful in pushing down that component of backlog first. And indeed, the mix has shown that. I think it's now something on the order of about 75%, 25% between networking equipment and firewalls still firewalls in the mix. But as Ken pointing out is there may be more risk with that networking equipment of cancellations as we go forward, and particularly its a backlog deal for those elements continue to age out a little bit as we move through this process. In terms of continuing supply chain challenges, I'm not quite sure I was making the length on that. I don't -- I guess that would have an impact on the continuing to build of backlog. But as we said in our comments, we really expect to get to a backlog number by the end of this year that's much more closely aligned with our historical norms.
Ittai Kidron: Very good. Thanks. Good luck.
Operator: Thank you. One moment please. Our next question comes from the line of Andrew Nowinski of Wells Fargo. Your line is open.
Andrew Nowinski: Okay. Thank you. Just two quick questions. First, I want to ask a question on EMEA. You've had five quarters now of accelerating growth in Europe, and that seems to defy the macro trends that we consistently hear about in Europe. Just wondering if there's something specific in your portfolio that might be driving that strong growth in Europe?
Ken Xie: I think we definitely have a pretty long tenure and a good team there. And at the same time, the case, the firewall case also expand quite well in Europe, in some countries there. And some of the service provider carrier, they are a little bit more ahead compared to some bigger service provider were the U.S. on moving some new solutions, including some 5G SD-WAN. So that's where we continue to see some good growth there. Also, we kind of surprisingly even during the recession, the SMB sector growing quite strong compared to some enterprise. Enterprise more about how to lower the cost ownership, protect some of their own kind of profit margin. But SMB, they do see the importance of cyber security, especially in retina were they are starting more targeted SMB right now. So we do see quite strong growth in SMB and so that's also helping some regions in Europe.
Andrew Nowinski: Got it. Okay. And then I wanted to ask about gross margins. So you talked about easing cost pressures and lower discounting as some of the levers that drove that better-than-expected gross margin. I guess, number one, how sustainable do you think those factors are as we look into fiscal '23? And then when you launched new ASIC, like you did earlier today, is that a headwind to gross margin initially?
Keith Jensen: Yes. I think a few things we talked about price benefits, the discounting and then some easing of the impact of the supply chain. I think the price benefit is something that will obviously stay with us in the future. And so we should still get a tailwind from that. However, discounting and supply chains, call it, savings for lack of a better term, that's what we relate to our history of price increases. And I think we kind of reached a very kind of maybe the high watermark in terms of being -- having price increases covering those costs, and that will start to settle back down to a more normalized pattern going forward. Meaning that we'll still have inflationary cost increases, but we've really slowed down the price benefits, the price increases. So net-net, price increases continue, discounting and supply chain benefits may not.
Andrew Nowinski: Got it. Thank you.
Operator: Thank you. One moment please. Our next question comes from the line of Raymond McDonough of Guggenheim Partners. Your line is open.
Raymond McDonough: Hi, thanks. Maybe for Ken or Keith. The last time we saw product growth accelerate for two years was back in 2014 and '15, you had two really strong years of product growth, and that was followed by a pretty sharp deceleration of growth over the next two years. And I understand the business is a lot different than it was back then, but there does seem to be some similarities, at least how it relates to the macro environment and your results obviously point to you guys navigating it, the macro quite well. But you did reiterate your '25 guidance, which I believe implies mid-teens product growth. So I guess the question is, why should we think this time is different? Is it just that you have a significantly larger portfolio of solutions? Is it broader acceptance from customers willing to consolidate networking and security functionality. Any comparisons or contrast you can provide specifically as it relates to product growth versus, if you will, the previous cycle would be helpful.
Ken Xie: I think in the 2014, 2015 last the outbreak of a weather target so many case, which a lot of enterprise tried to upgrade from the traditional connection-based firewall to the next-gen firewall, which including some prevention and other things. So that's where it's more like kind of refresh more in the enterprise area. So we do see some strong growth there after the severe issue. And then by this time, we see there's a few things. One is really during the pandemic, there's a new infrastructure build supporting a homework anywhere. At the same time, the ransomware attack quite broadly hit the whole industry. And another part, we keep on seeing the convergence, which is like SD-WAN, the 5G, the WiFi and also internal segmentation. So that's a much broader used case of the firewall deployment and also including OPG, a lot of more devices being connected. So we feel this time it is really kind of a more broad firewall used case kind of apply to the whole infrastructure. That's what we kind of more emphasized the convergence is a little bit different than the last time it's like eight, nine years ago. So that's why we feel this time probably will be more smooth transition because the traditional firewall, whatever will not go away. And at the same time, that's more used case convergence into the traditional networking area, expanding to the OT some other area, we're helping keeping driving the product revenue growth and then followed by the additional service revenue. So that's the chance we're planning.
Raymond McDonough: That's helpful. And if I could, maybe a follow-up. You talked a little bit about the momentum in large deals and enterprise deals in '22. But given the macro environment, could you compare and contrast maybe Keith or Ken behavior you're seeing from larger customers and maybe those on the smaller end of the spectrum. Are you seeing more deal delays upmarket, more propensity to consolidate functionality at the lower end? Anything -- any more color would be helpful.
Ken Xie: Yes, it's definitely helping the customer lower the total cost of ownership, both on the management cost and also on the product service cost, which we have here an advantage over the competitors. So that's where we see a lot of a big enterprise customers. They definitely want to -- when they see the renewal, when they see all this -- need to add additional protection for the infrastructure, we do see this like how to have a better total cost of ownership and at the same time, leverage a single integrated platform, automated platform to offer better security networking together. Even there's a trend to merge the traditional network operating team and security operating team together to making the stock and not kind of combined together and also converge on the traditional networking and security together. So we do see some trends happening in the big enterprise and which we kind of developed technology and the long-term investments starting to see. I mean, stating benefit for the trend.
Keith Jensen: Great.
Raymond McDonough: Yes, go ahead.
Keith Jensen: Like everybody else, I mean, you're reading about people talking about deals taking longer to get across the finish line and more approvals and so forth. And I don't think we were immune to that by any stretch of the imagination. Keep in mind as we're going through as the world is moving through this. At the same time, Fortinet's kind of expanding from just seven figure deals. And I think we talked about 546 seven figure deals or more last year, if I remember correctly, a huge number. Now adding more and more eight figure deals. So I think we're probably seeing huge opportunities, but we're also getting exposed to how that approval process works and how we manage with our sales team, our customers through that process.
Raymond McDonough: Great. Thanks for the color and congrats on the strong results.
Operator: Thank you. One moment please. Our next question comes from the line of Adam Tindle of Raymond James. Your line is open.
Adam Tindle: Okay. Thanks. Good afternoon. Keith, I wanted to start with pricing. I think we picked up if we got this right, another pricing increase announced in January effective in February. Wondering if you could touch on the rationale and early response to that -- where are we in the elasticity of demand? And thinking forward, obviously, costs are ultimately going to normalize, hopefully, in your model. What would be the strategy for you once costs normalize, would you reduce price or capture margin? Thanks.
Keith Jensen: Yes, on that part first. I mean I think we'll continue to monitor the market and make the appropriate adjustments there. I don't seeing inflation go backwards it's probably not something that's happened a lot in history, but it could happen, I guess. In terms of the most recent price increase that we talked about, it's almost a non-event to me. It's extremely low single-digits growth and after discounting, it's a fraction of an interest point.
Adam Tindle: Got it. Okay. And then maybe just as a follow-up for Ken. I wanted to ask on SASE competition. When your main competitors has said they've integrated their SASE offering with SD-WAN and Secure Web Gateway in particular. They're pushing that sales motion across the entire sales force now. As we think about Fortinet, obviously, very strong in SD-WAN, but that Secure Web Gateway or proxy piece is perhaps not as prevalent or a different strategy. It's clearly not impacting your unit market share at present, but just thinking forward to competing and differentiating in SASE now that your competitor really pushing that motion across the entire sales force? Thank you.
Ken Xie: Yes, I think we -- our strategy, like [indiscernible] seeing in the last few years is; first, we want to have a SASE or integrated in the same system, the same OS, including all the SD-WAN or the SASE function. So making SASE can be more easily broader deploy and also working with service provider to leverage their infrastructure to offer a SASE. So it's a little bit different than some of the SASE players right now in the market. So we do believe this is highly integrated the single system as will be more efficient and same time will be more secure. And so that's what we're keeping building and whether the new FortiASIC [indiscernible] and also the new FortiOS reflect all this kind of development we reported into the solution. At the same time, we're keeping working closely with pretty much all the carrier service provider, even cloud provider to offer SASE together. And that's also a little bit different strategy compared to some other SASE player. So we do believe long-term leverage infrastructure, a lot of our own service provider telecom provider had will be much more efficient than the profit model compared to some of the SASE solution or player kind of losing money, which will be difficult to last long. So that's what we will keeping invest in this area. And also, we want to be a long-term player in this space and also we'll be keeping internal innovation R&D and keeping driving this space.
Adam Tindle: Very helpful. Thanks and congrats on the year.
Ken Xie: Thank you.
Operator: Thank you. One moment please. Our next question comes from the line of Ben Bollin of Cleveland Research. Your line is open.
Ben Bollin: Good afternoon. Thanks for taking the question. Could you share a little bit of what is happening with respect to the cloud infrastructure build-out. Tell us a little bit about what you're doing, where you are in the progress and customer response thus far? And then I had a follow-up on the networking category.
Ken Xie: Yes. We continue keeping building of the infrastructure, including the cloud. Also our strategy a little bit different than 100 players we tend to build out ourselves just like we -- you can see the investment in some of the real estate. Quite some of that also go to the -- like a data center infrastructure that give us much better cost and also more long-term benefit just like how we -- the investment made in early real estate kind of benefit our office cost, rental costs. So that's where we're using the cost saving we get from this rental keeping invest into some more long-term infrastructure real estate. We do see that we're keeping benefit the company a long time. But at the same time, like I said, also partner working with car service providers that's other strategy we have managed some of their infrastructure. So that's also make a win-win both party or benefit or will be profit. That's also the strategy we have.
Ben Bollin: And within that, Ken, could you speak to, is this -- is it purely cost is latency part of the narrative? Is it being closer to your customers? What's the broader strategy within it?
Ken Xie: Not just, but also will make it easy to manage easy to scale. Even some of the SASE solution I had to be the some bigger customers, they may even do themselves. So if you can integrate a more successive function to the same or into the same system. So that's sort of the long-term strategy we have and also working with service providers is very, very important for us.
Ben Bollin: And then my last one. Ken, what are your thoughts on the traditional campus networking opportunity in the WLAN market? How do you think about wallet share opportunity and the ability to displace more of the incumbent there? That's it for me. Thank you.
Ken Xie: That's kind of the thinking we have like over 20, 30 years really. There's a convergence of networking, traditional networking and network security. I think SD-WAN is a very, very good example. So the WAF solution will be more efficient, more secure, and there's a lot of additional service we can apply to secure SD-WAN, which is whether offer free or we are not kind of there yet. But same thing for a lot of other web technology. And so we feel that's a huge potential. And -- but also doing security in the networking environment not need a huge company in power, which has come from ASIC investment we made, which also will take a long time to see the return of investment, that's what we kind of comment from day one back 23 years ago. So when we start with we really need to invest and planning all these kind of long-term convergence of networking or security together. So the new ASIC is one example is the fifth generation of our SoC chip, which also including some of the investments we made in the mine generation of our content process and seven-generation network processor together with a lot of multiple CPU. So we continue to develop technology and eventually will be deployed more broadly beyond the traditional network security.
Operator: Thank you. I'd like to turn the call back over to Peter Salkowski for any closing remarks.
Peter Salkowski: Thank you, Valerie. I'd like to thank everyone for joining today's call. Fortinet will be attending investor conferences hosted by Baird and Morgan Stanley during the first quarter. A fireside webcast link will be posted on the Events & Presentations section of Fortinet's Investor Relations website for the Morgan Stanley conference. If you have any follow-up questions, please feel free to contact me. Have a great rest of your day. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you all for participating. You may now disconnect. Have a great day.